Operator: Good day and welcome to the CatchMark Timber Trust Releases Fourth Quarter 2013 Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. Brian Davis, Chief Financial Officer. Please go ahead, sir.
Brian Davis: Thank you, Audra. Good morning. Welcome to the CatchMark Timber Trust webcast following our 2013 earnings results announcement which we issued yesterday. I’m Brian Davis, Chief Financial Officer of CatchMark Timber Trust. With me today here at our Orlando Headquarters, are Jerry Barag, President and CEO of the Company; and John Rasor, our Chief Operating Officer. During the course of this call, CatchMark management will make forward-looking statements. These forward-looking statements are based on management’s current believes and the information currently available. CatchMark’s actual results will be affected by certain risks and uncertainties that are beyond its control or ability to predict and could cause our actual results to differ materially from our expectations. For more information about the factors that could cause such differences, we refer you to our December 31, 2013 Form 10-K and other reports that we filed with SEC. I will now turnover the session to Jerry. John and I will join him after his presentation to answer any questions.
Jerry Barag: Good morning and thank you, Brian. This is another milestone day for CatchMark, our first results webcast following our successful IPO and listing on the New York Stock Exchange last December. Thank you all for joining us this morning as we discuss last year’s results, as well as the initiatives that we have undertaken to make 2014 a successful year for our shareholders. Let’s briefly look back. Highlights for the fourth quarter 2013 include our successful IPO in December in which we raised $163 million of gross proceeds. As a result of this transaction, we were able to reduce our outstanding debt to $34 million from $132 million, a 74% reduction resulting in a debt to total market capitalization ratio of less than 10%. We negotiated new credit agreements for a multi-draw credit facility of up to $150 million and a revolving credit facility of up to $15 million, which we can use to fund growth initiatives. We successfully transitioned the Company to self-management with a new executive leadership team and four new Board members. We adopted revised business strategy to increase our annual harvest volumes based on sustainable harvest plan and to establish annual, higher and better used timberland sales targets. We declared our first ever cash distribution for the first quarter of 2014 of $0.11 per share, which will be payable on Monday, March 17. Our adjusted lived a loss of $100,000 for the fourth quarter and a gain of $3.5 million for the full year 2013. Keep in mind 2013 results were significantly impacted by increases in general and administrative expenses associated with our transition to self-management, listing on the NYSE and the initial public offering. Now that the financial restructuring is behind us, we believe the Company is well positioned for growth in the year ahead to meet the objectives of our new management strategy. In support of this view, we will provide guidance for the year ahead and would also like to discuss our first timberland acquisition which we will refer to as the Waycross/Panola acquisition. For 2014, the Company expects to generate net income in the range of $100,000 to $1 million and more importantly EBITDA in the range of $13 million to $14 million. This guidance does not include the anticipated positive impact of the Waycross/Panola transaction or other potential acquisitions in our pipeline. It is based on sustainable harvest volumes which have been stepped up in light of improving market conditions and expected land sales. The impacted potential acquisitions should be further accretive to results. I’d now like to review the Waycross/Panola transaction that we announced yesterday. Please refer to the presentation regarding this acquisition that has been posted to our website. Page 2 provides a brief summary of the transaction. Yesterday, we agreed to acquire 36,340 acres of very high quality timberlands located near Baxley, Georgia which we refer to as the Waycross property and in East Texas which we refer to as the Panola properties. The seller of these properties is the Hancock Timber Resource Group which is the largest timber in the United States. The total purchase price for both properties is set at $74 million and we will be backed by financed purchase by drawing on our acquisition credit facility which will then leave us with pro forma debt-to-market capitalization ratio of just under 25%. We further expect to close the transaction during the second quarter of this year. If you now refer to Page 3, I’d like to discuss some of the investment merits of this particular transaction. In summary, we’re excited to be announcing this transaction as we believe that these properties represent an ideal first acquisition for CatchMark. The properties are well stocked with an inventory comprised of 84% pine plantations by acreage and 54% sawtimber by tonnage, both of which are well above average for U.S. South timberlands and significantly higher than CatchMark’s existing portfolio. The properties are exclusively located in our core investment region of the U.S. South within some very competitive milling markets. We anticipate to yield an additional 180,000 to 200,000 tonnes of annual harvest volume from these properties, an uplift of nearly 20% from our current harvest level. Overall this acquisition will significantly bolster our operational scale and is consistent with our stated strategy of leveraging the CatchMark platform for growth in our core investment region. Lastly, we expect that the acquisition will be accretive to our cash flow in the current calendar year and will enhance our ability to increase our dividend overtime. Page 4 provides you with the map of the properties and key mill customers. As you can the Waycross properties are relatively concentrated and contiguous, while the Panola properties are more geographically dispersed. Both properties however are located in highly competitive wood baskets with multiple mill customers many of which will be new customers for CatchMark. Again, our focus has always been on acquiring well-stocked properties in strong mill markets and we believe that this acquisition meets and exceeds our criteria in such regards. On Page 5, we’ve provided you with a graphical overview of the inventory stocking on the Waycross/Panola properties relative to CatchMark’s existing portfolio. Again I want to emphasize that these are well-stocked properties with strong inventory characteristics 84% pine plantations versus CatchMark’s average of 73% and 54% sawtimber inventory versus CatchMark’s current average of 41%. Thus, these properties will materially improve CatchMark’s inventory profile with the addition of significant quantities of higher value sawtimber and chip-n-saw products. We believe this is important as we enter what we expect to be an extended period of improving sawtimber prices as the North American housing markets continue their recovery. On Page 6, we have highlighted some of the productivity characteristics of the Waycross/Panola properties. Since these metrics maybe not be intuitive to everybody on the phone, we have also included our estimates of what we believe to be averages for these metrics in the U.S South. With respect to productivity, I want to highlight that these properties and Waycross in particular exhibit extraordinary growth characteristics. As you can see in the chart on the left, the Waycross property currently produces approximately 5.6 tonnes of volume per acre, per year that represents an uplift of roughly 50% relative to the U.S. South average of 3.5 to 4 tonnes per acre per year. This is an extraordinary property with unique growth characteristics that fit well within our operational strategy of generating cash flow through sustainable timber harvesting. Lastly, on Page 7, we have highlighted a number of key metrics that we felt would be important to our investors. As noted earlier, we will be financing the acquisition a 100% with proceeds from our multi-draw acquisition facility. This will take our debt to total market capitalization ratio to roughly 25%. Overall this acquisition will increase our fee timberland holdings by approximately 15% while increasing our anticipated long-term harvest volume by nearly 20%. Of course given the excellent inventory characteristics of these properties, they will also materially improve CatchMark’s overall inventory profile. In conclusion, I want to again emphasize that this is truly an extraordinary property and a near perfect complement to CatchMark’s existing holdings and operational strategy. We are very excited that we were able to execute on an acquisition of this nature so quickly after our IPO and we expect that this acquisition will help us to achieve our goals of delivering strong cash flow returns to our shareholders through the sustainable harvesting of timber. That concludes our presentation regarding the Waycross/Panola acquisition but we will be happy to address additional questions about the transaction at the conclusion of our prepared comments. Well that provides a nice segway to our next topic which is our acquisition pipeline. With regard to future acquisitions, we currently have a robust pipeline of potential deals and as a result we have the luxury of being very selective in pursuing transactions that meet our investment criteria and can be accretive to our cash flow in the near-term. In fact we are seeing multiple attractive midsize deals in the pipeline with portfolios containing well-stocked inventories of harvestable product able to produce volumes that will be accretive to earnings immediately and provide significant growth in coming years. We joined CatchMark with the precise intent of capitalizing on what we expected would be an opportune acquisition environment and so we are pleased not only to announce our first acquisition but also to report that we are seeing multiple opportunities on the horizon that we expect to pursue as well. From an ongoing operations standpoint, we believe we are well positioned for 2014 and we intend to sustain a recurring dividend from timber harvest operations supported by a focus on active forest management and selective HBU land sell opportunities. During 2014, we expect to harvest 1.1 million tonnes from our fee and leased timberlands and increase in production volume of 20% over 2013 levels. We have assembled an identified capacity within our portfolio to meet these timber sale targets for the year and are on pace with our operational targets year-to-date. Since the beginning of the year, we are encouraged by modest price increases across all product classes, the first time that’s happened since 2007 that we have seen such across the board upswing with some prices hitting multiyear highs. We expect pricing to hold or modestly increase for the remainder of the year in the South where our portfolio is concentrated. Significantly, the largest upward price movement has been in the pulpwood sector which is our largest product category by volume at present. The improving housing market conditions continue to buttress our outlook. We see industry guidance on course for about 1 million homes to be built nationwide in 2014 going back to levels of about 1.5 million starts per year by 2017. The ongoing recovery in homebuilding will obviously create increasing demand and pricing power for lumber and timber products and is very positive for CatchMark this year and beyond. Also important to our guidance this year will be the successful execution of our land sale objectives. We feel confident that we can meet our goal to realize revenues of $8 million to $10 million from land sales during the course of this year. Over the longer term, we intend to improve our harvest volume mix by reducing the share of lower value pulpwood to about 50% from the current 70% level and increasing the share of higher value saw timber and chip-n-saw products through an active management of our existing properties as well as the acquisition of additional -- the additional acquisition of well-stocked properties. In keeping with this strategy the Waycross/Panola transaction were helped with the percentage of chip-n-saw and sawtimber products in our harvest going forward. Management and the Board are keeping a disciplined eye on cost to ensure expenses stay under control as well. Obviously we will not incur the outside expenses involved in the repositioning and taking the Company public that we had in 2013. Thus expense controls are very much a part of meeting our goals for delivering on our $13 million to $14 million target for adjusted EBITDA in the year ahead. To sum up, CatchMark has been repositioned and refocused in the wake of our leadership changes and moved to self-management and our successful IPO. We have significantly improved our balance sheet and reduced our debt enabling us to undertake an acquisition program to secure future growth. We feel confident about meeting our dividend goals for the year from improving harvest volumes and land sales. And we believe momentum from the ongoing housing recovery should help to sustain growth for the Company in 2015 and beyond. Thank you for your attention and now John, Brian and I will be happy to take your questions. Question-and-Answer Session
Operator: Thank you. (Operator Instructions) We’ll take our first question from Collin Mings at Raymond James & Associates. Collin Mings - Raymond James & Associates Hi. Good morning guys congrats on the deal. Let’s just start there as far as some questions, I mean just can you talk a little bit more about how that deal was sourced? And then like can you kind of quantify how accretive you think you could be maybe either in terms of what could flow to the bottom-line in terms of CAD from this acquisition or how you think about the initial cash yield?
Jerry Barag: Collin this is Jerry, I will take the first part of it and I’ll turn it over to Brian. The deal was brokered directly by Hancock, it was a highly competitive process of single bid auction and we were successful in -- we believe we were successful in capturing it number one because of our flexible process and our capital availability. And number two it obviously should have our guidelines in terms of being as productive property as it is, the location of it and the inventory. So we were able to be a aggressive market bidder on it, Brian with respect to three month targets?
Brian Davis: Sure, the $13 million to $14 million adjusted EBITDA guidance and net income range which we provided excludes any acquisitions including this one. And given the regency of the acquisition and nothing really in the public domain Collin we really won’t be able to provide specific guidance at this time. Other than if we close anything in the first half of this year will be accretive in cash flow for the calendar year of 2014 and our plan will be to update our guidance on our quarterly earnings calls. So that will capture this acquisition as well. Collin Mings - Raymond James & Associates Okay. And can you also just talk about, do you see any HBU land sales opportunities in this portfolio particularly on the, I guess more so on the Texas side?
John Rasor: Yes, Collin this is John Rasor we do see some on the Panola side of the transaction, and not ready to quantify that yet but there are several tracks that look like they have some potential, a little recreational primarily. Also significantly there is a portion of the property that sits on the Sabine River that we think has some high conservation value, largely hardwoods and we will probably be pursuing that potential. Collin Mings - Raymond James & Associates Okay. And then just kind of on the 180,000 to 200,000 incremental tonnes, what’s the mix there? How do you think about the mix between pulpwood and sawtimber on that?
John Rasor: It’s just about in line with the inventory profile there. These properties have been so well managed that you can almost extrapolate those percentages and that’s about what our going forward harvest schedule looks like. It will be heavier to sawtimber and chip-n-saw than it will pulpwood. Collin Mings - Raymond James & Associates Okay. I know and thanks John and then Jerry maybe just about the deal pipeline can you talk a little bit more about I mean are you having much success consolidating timberland around your existing footprint. You have gone after some of the smaller parcels and nearby and then is everything you’re looking at right now in the U.S. South in kind of just mid size deals or are you looking at some stuff in the Pacific Northwest and just talk a little bit more about that pipeline you have?
Jerry Barag: Sure. So in terms of the existing pipeline number one it is very robust at this point and it’s actually growing. And so we’re seeing a lot of momentum in terms of the timberland transaction market. And in a gratifying way they are most of the deals that are coming out are not as huge mega deals that we’ve seen in the past several years but they’re more mid-sized deals kind of in the range of the acquisition that we’ve just announced today. We have several different programs that are going on around the acquisitions one of which is to append the property to the existing current holdings of CatchMark and we’ve been successful in buying some smaller tracks around the existing property at very attractive prices less than what we’d consider to be NAV for our property and we will continue that process. It kind of lies under the radar, but it’s a very accretive process and very good for our business. Collin Mings - Raymond James & Associates Jerry can you may be talk about may be give a rough estimate of may be how many F acres you’ve picked up that way or how much capital you have put out on that smaller land sales program?
Jerry Barag: We’ve closed on about 200 acres and we have another 1,000 acres that are under contract under that program. So these are by nature tend to be very small acquisitions and only make sense to us because we are appending them to the existing portfolio. Collin Mings - Raymond James & Associates Okay. And then last question before I jump back in the queue you talked just that you saw pricing improve really across the all five of your product categories at the start of the year and most of the strength on the pulpwood side. But can you may be quantify that a little bit more is there a way to think about how much your sawtimber pricing is trending up year-over-year your pulpwood pricing is trending up year-over-year?
Jerry Barag: Yes we’ve been in the 5% range on the increase in sawtimber and chip-n-saw and more than that on the pine pulpwood products which make up by far the biggest part of our pulpwood production. And… Collin Mings - Raymond James & Associates Okay, great guys I’ll get back in the queue. Thanks.
Operator: (Operator Instructions) And we’ll go back to Collin Mings at Raymond James & Associates. Collin Mings - Raymond James & Associates Okay. Thanks, let’s just shifting gears a little bit talking a little bit more about the HBU land sales outlook 8 million to 10 million. Can you talk a little bit more about the momentum building in that business? And I think we’ve talked before about there is a potential for a relatively large transaction towards the middle of this year. How is that process proceeding?
Jerry Barag: The large transaction is proceeding well. We expect that we will have a hard contract on it potentially by the end of this month the buyer has accelerated their timeline on going hard on the contract and the expected closing data would be end of the year. Collin Mings - Raymond James & Associates Okay, great.
Jerry Barag: And as a results to -- as it relates to additional sales we’ve definitely seen an increasing interest and potential momentum and we’re getting that organized in a way that will create a reliable part of the cash that we need some land sales portion of our business. Collin Mings - Raymond James & Associates Okay. And then another issue that’s come up with talking to the other timber REIT’s over the last several weeks is just been about how may be winter weather an unusually serve winter weather even across the U.S. South has really impacted operations. What have you guys seen as it relates to that and has that impacted your business at all?
Jerry Barag: Well two things, one is that it did not impact our business with our current properties they were just far enough south to miss the ice and the snow. We may have slowed down for a few days but we’re still ahead of schedule for the quarter on volumes and deliveries. As it relates to our announced acquisition East Texas has had a pretty tough time in terms of some weather and when the flat woods get wet it takes a while for things to drain we’re looking at a very strong pricing environment and can’t wait to get close and get up and running. Collin Mings - Raymond James & Associates Alright. Well, I guess going back to the acquisition year and I appreciate you guys came for a whole lot of details given just the pending nature of the transaction on may be how accretive it could be. But could you may be talk as you think about your acquisition kind of underwriting criteria, how do you think about the cash flow accretion and what type of initial yields you’re for on a cash basis on more broadly the acquisitions you’re pursuing?
Brian Davis: Well I think they from a timing standpoint and maybe Jerry you can think through from as we think through that acquisitions we -- takes us about what John tell us about 90 days to get a property once acquired really up and running to its first year tempo but you really have the lagging effect associated with it because you did acquire it with debt. So, there is a bit of a dilution relative to the ongoing onset of operations clearly you want to get that up and running as quickly as possible to provide for a positive cash flow and that’s really why we have provided a guidance from a calendar year standpoint anything that we really closed in the first half of the year will be accretive to cash flow for calendar year of 2014. And with that I’ll turn it over to Jerry.
Jerry Barag: And so from a targeting standpoint of a profiled property we are somewhat gratified that the premise we had when we implemented CatchMark was that there was going to be an availability of properties that had very strong inventory characteristics owing to the fact that the downturn in the housing industry had caused many timberland owners to differ harvesting for up to a six or seven year period of time. And we are seeing that be a consistent trend at this point and that’s part of the reason we have had the opportunity to be as selected as we have been in pursuing acquisitions that are very complimentary to our business strategy and platform. The Waycross/Panola transaction is not an anomaly there are more deals similar to that, they may not be as productive as that property per se but more properties in the pipeline that look a lot like that that have the ability to enhance our inventory and mix and have the ability to cash flow almost immediately upon acquisition. Collin Mings - Raymond James & Associates Okay. And then I guess Jerry, to that point again from earlier are you going after stuff in the Pacific Northwest right now as well or just stuff in the South or how do you think about that?
Jerry Barag: We believe that the best relative value from future growth standpoint today is in the U.S. South and we have concentrated areas it’s almost exclusively on the U.S. South, there have been a limited number of small transactions that have been available in the Pacific Northwest and we monitor those really with an eye towards future growth but for right now we intend to be very focused on the U.S. South. Collin Mings - Raymond James & Associates Okay. And then all the -- this acquisition is a sacred sale that will I think continue to be managed by FRC.
Jerry Barag: Yes. Both the Waycross and Panola prosperities would be managed by FRC. Collin Mings - Raymond James & Associates Okay. And then just still kind of on this scene when you think about your balance sheet, I mean coming out of the gate very lowly levered to $75 million roughly acquisition here, how much more capacity do you think about in terms of acquisitions that you can still do on your credit facility before you kind of run up top where you’re comfortable from a leverage standpoint?
Brian Davis: Right, we’ve stated -- this is Brian, that we’ve stated our target leverage profile is in that mid 30s range, our current credit facility level as to go up to 45% and we can actually on a case-by-case basis find long-term financing on particular properties based upon stocking up to 60% leverage. But our expectation is really been in that kind of 35% range as we sit here today post closing of this acquisition we have $75 million available to us plus our availability under revolver we do have accordion features associated with our facilities that can increase our capacity by another $75 million in aggregate. So, that’s kind of how we think of where our capacity is today. Collin Mings - Raymond James & Associates Alright. And then just real quickly, I mean Brian I don’t know if you can provide this just kind of what you think about as far as the G&A run rate for this year, I know you provided some of the original perspectives but how are you thinking about that right now?
Brian Davis: Yes. So, we on a year-over-year basis it’s going to be very difficult for on a comparison because last year you would have had a number of advisory fees and then in the fourth quarter you had a lot of cost associated with internalization and IPO. And so the way we’ve really thought about communicating back with the marketplace, one to affirm to the market that G&A cost expenses will be managed but the resultant of that is reflective in an adjusted EBITDA in net income ranges in which we provided. Collin Mings - Raymond James & Associates Okay. And then, I guess really one last big picture question from me here and it’s something that been kind of pulling all the timber REIT’s on recently just the tax reform that came out about two week ago that seemed the targeted timber REIT’s John if you want to weigh in on -- in our view there is a very, very low probability of this gaining any traction in the near-term but just given that timber REIT’s were kind of called out by the tax reform just thought Jerry you might want to weigh in and what will you think about that proposal?
Jerry Barag: Yes. I mean it appeared to single timber REIT’s kind of unfairly and seemed to be a parting shot by representative camp who apparently is retiring, does not have according to the lobbying organizations and their multiple lobbying organizations that the timberland REIT’s utilize for things like this. It does not seem to get -- have much traction and there is not a great amount of concern that any of what has been proposed would really come to pass in the near-term or in near-term related sessions. So, we’re keeping an eye on it but ultimately there isn’t any great deal to be concern.
Operator: And we’ll go next to Nick Zamparelli of Zeke LP. Nick Zamparelli - Zeke LP Hi guys. Thanks for taking the question. I understand given the productivity of the land you just acquired that you’re willing to pay out $2,000 an acre for the land but going forward, where should we expect valuation to shakeout on a per acre base from some of these midsized deals?
Jerry Barag: It’s pretty consist to what we have said in the past, we believe that the market for kind of averaged timberland deals in the U.S. South is somewhere in the $1,600 to $1,800 an acre range. Again, it varies widely because of conditions on the ground particularly inventory product mix and future productivity. From our standpoint to the extent that we are targeting higher quality prosperities, we expect that we’ll be pumping up toward the higher end of that range in the future as well. Nick Zamparelli - Zeke LP Okay. And how much capital do you expect to deploy on acquisitions by year-end, I’m not sure if you’ve given a hard target on that or if you have a target but any color you can provide would be great?
Jerry Barag: There isn’t a hard target that we have implemented here. Again, we’ve been gratified by the availability of transactions which has really been the biggest constrain in the market for several years right now. And our belief is while the dynamics of the market are as positive to say our we will be an active participant in the transaction market for the balance of this year. Nick Zamparelli - Zeke LP Okay. Great, thanks guys.
Operator: And we’ll take our next question from Adam France at 1492 Capital Management. Adam France - 1492 Capital Management Hi, good morning guys. Thanks for squeezing me in here. A quick question for you Jerry, being -- not an expert in your business here, any noticeable differences to working timberland in East Texas versus your core Georgia Alabama area. You have as many contractors to choose from any cost differences that we should know about?
Jerry Barag: I don’t think there is any significant cost differences. You heard me speak about the ground conditions, one nice thing about the Panola acquisition the Northern two-thirds of the property have good topography associated with it and sandy soils which will make for excellent year around operations and a go to place for wood. We’ll be working with the companies in the area most of our sales initially will be in the form of stumpage okay as you get contracts.
Brian Davis: And John and I are very familiar with the territory having managed in our previous life that timber sort of assets which had about 350,000 acres in East Texas. So, we know the mills and the contractors and the operators there very well.
John Rasor: And to some extent they know us and it will like going back home again almost. Adam France - 1492 Capital Management Very good, thank you guys.
Operator: And that does conclude today’s question-and-answer session. I’ll turn the conference back over to our speakers’ for any closing remarks.
Jerry Barag: Well, actually I think we may have one more question Audra if you wouldn’t mind taking that.
Operator: Certainly, we’ll go back to Collin Mings. Collin Mings - Raymond James & Associates Yes, just one quick follow-up guys, just kind of on that front as it relates to the acquisition. Are there any supply agreements that as you think about this acquisition that you’ll be looking to put into place, are there any tied to that portfolio already?
John Rasor: Yes. There is a supply agreement associated with the Waycross prosperities. We’re still on a confidential Aldy with respect to that. So, I really can’t disclose names and details but I can tell you that it’s a typical supply agreement and falls, minimum and maximum annual volumes. We think we’ll probably average up to maybe plus or minus 40,000 tonnes of pine pulpwood a year. It will be priced on a fourth quarter ruling average against the timber March South index. I guess it most importantly we like supply agreements it adds to the reliability of our harvest income. Collin Mings - Raymond James & Associates Okay. Thanks for that color John.
Operator: And that does conclude the question-and-answer session. I’ll turn the conference back over to management for any closing remarks.
Jerry Barag: Great, thank you. Please feel free to send unanswered questions to info@catchmark.com and we will respond promptly and we do appreciate you participating on the call with us today. Thank you.
Operator: And that does conclude today’s conference. Again, thank you for your participation.